Daniel Sundahl: Good morning from us [ph] ladies and gentlemen. And welcome to TOMRA's Second Quarter Results Presentation for 2024. My name is Daniel Sundahl and I'm Head of Investor Relations. Today, CEO, Tove Andersen, will start by giving you the highlights of the quarter. And afterwards, CFO, Eva Sagemo will dive deeper into the numbers. At the end of the presentation, as usual, we will open up for Q&A for participants in the team's webinar. A link to the team's webinar registration can be found in this morning's stock exchange release. But without further ado, I give the word to Tove.
Tove Andersen: Good morning from me as well and welcome to our second quarter presentation. Before I dive into the quarterly highlights, I wanted to do a bit of promotion for our Capital Markets Day. We will have a Capital Markets Day on September 5 in Alicante, Spain. There, we will give updates, me and my leadership team, on our businesses and our strategy. You will have the opportunity to join breakout sessions to have one-to-one engagements also with senior management and we will arrange a visit to one of our Food customers. So you will have the opportunity to visit a citrus packhouse in operations and really see live how our sorting and grading equipment is key for optimizing the production there. So I hope many of you will be able to join us there. But of course, there will also be an option to watch it live on the web. Registration closes at August 16. And for more information, please go to our dot.com page. Then let's dive into the quarter. Second quarter 2024 was a good quarter for us. The Recycling division delivered in line with expectations and our estimated conversion rates amid good gross margins. Our Food business also overall delivered according to our expectations but with somewhat higher revenue versus what we had estimated. And then it is Collection that stands out in the quarter which delivered also above our own expectation and I'll come back to that a bit later why that happened. So this gave us revenue for the quarter of €333 million which is flat compared to the same quarter last year. Collection being up 15% and then Recycling and Food, down 15% and 16%, respectively. It's very pleasing to see that we had good gross margins in the quarter, 44% which is 2 percentage points up versus the same quarter last year. And especially, it's pleasing to see that all 3 divisions increased gross margin versus same quarter last year. The improvements are driven by business mix, it's product mix, it's also the price adjustment, especially in Collection and also cost savings in our Food division. Our operating expenses in the quarter was in line with the 2 previous quarter and landed on €101 million. And that gave us then an EBITA adjusted for special items of €44 million which were €2 million down versus same quarter last year. We had a small one-off cost in the quarter linked to our Food restructuring program of €0.5 million. In the quarter, we had a strong cash flow from operations of €34 million. If you then look at the order intake and backlog. The Recycling order intake was down 12% and landed then at €65 million in the quarter. However, our order backlog grew with 9% to €133 million. While the Food order intake was more or less in line with same quarter last year, €83 million and the order backlog is now 23% higher this quarter -- end of this quarter compared to the end of same quarter last year. Combined, this gives us then an all-time high order backlog at the end of Q2 2024 which gives us good transparency and visibility for the coming quarters to come. Then I'll go through the 3 divisions. As I said in my introduction, Collection had a very strong quarter. And I think if you look here on the lower left side, it's nice to see how this business has developed over the last 5 years. In this quarter, we saw strong sales in all regions. And when we look at the new markets, it's especially Romania and Austria that stood out. Romania, as you know, they launched a deposit system end of last year and we have seen the continued high sales in Romania also now in Q2. And Austria will then launch a deposit system early next year for single-use beverage containers. And the sales in Austria came a bit sooner than we had anticipated and was one of the contributors for why we over delivered versus our expectations in the quarter. Another highlight in the month was that we have in the quarter was that we opened our European Distribution Hub. We have grown significantly in Collection in Europe over the last years. And we also anticipate significant growth there going forward. And we have now created a European Distribution Hub in Poland to optimize our logistics and our inventory levels. This will position us well to handle the future growth to come and also, it will reduce our CO2 footprint. I talked quite a bit about innovations in the last quarters and how we will drive also growth in existing and new markets through innovation. And I talked quite a bit about the multi-feed solution, R2, that we have launched which is a new multi-feeds solution. And also, I mentioned before the RollPac. And highlight in the quarter has been that our RollPac solution have actually won 2 design awards, the iF and the Red Dot design award for the functionality and the innovation and the outstanding design. So RollPac is what you see here on the picture. And what is -- kind of what are the problems and benefits RollPac is providing our customers? It's really 2: One thing is that it optimizes how many beverage containers you can store per square meter because it uses the height. And of course, for retailers, square meters are very expensive because they want to use that to sell products, not to store empty beverage containers. The second thing with the RollPac is that the customers can use these roller cages, so it's the red one you see on the picture. Those roller cages, they also use for many other products into the store. It's easy to handle. It also then means that their employees doesn't need to lift heavy bags. So also, it's a convenience for the employees of the customers. So the RollPac so far has been a success on the design and the awards but also it's been a commercial success. And so far, we have sold 750 -- or actually more than 750 RollPacs and Austria is the main market for it currently. Then on the bottom right here, as always, we have included the countries that have a firm date communicated regarding going live with the deposit system. The list is the same as we had last quarter. So I'm not going to go through that in detail. But of course, it's important to remember that there's always political process is linked to this and that there might be delays. Then moving over to Recycling. So Recycling delivered a quarter in line with the expected lower backlog conversion that we estimated last quarter. And why is there a lower backlog conversion? It's really that we have a higher share of large projects in our order backlog and those typically have longer lead times than smaller projects. However, it's nice to see that our order backlog is continuing to increase. And that we end this quarter actually with the highest order backlog we have ever had in our Recycling business. Looking at the market sentiment in Recycling. There is still a soft market sentiment in the Recycling segment, especially plastic but also in metal. However, waste management which is our main segment in this business, is still healthy. And that's also why you see that still we have a good order intake and that we have a good order backlog. From the picture or the graph down on the right-hand side, you see then the updated figures on pricing our recycled PET versus virgin PET. And of course, you see that the prices have lifted up a bit. But we are currently not really seeing a significant recovery yet in the market. A highlight in the quarter and that also a highlight for me because I attended the opening, it was the opening of TriPlast in Enns in Austria. The written here is the most advanced sorting plant in Austria but they will claim it's the most advanced sorting plant in Europe. It has a capacity of 100,000 tonnes which covers then half of Austria's sorting capacity need for lightweight packaging. And it will have -- the input raw material here will come from both Austria and Germany. And they will take them source separate the plastics, so mixed plastic in as the raw material. This plant is a good example of what we see and how we see the market in recycling sorting is developing. It's a big plant. It has 38 of our AUTOSORT units, all powered with our AI solution. It is sourced then into, of course, all the different plastic fractions like PE, PP, PET, et cetera but also it sources, for example, PE film into 5 different fractions. So this is what we see is that these sorting plants are getting more and more advanced and they want to sort into purer and purer qualities so that you can enable really closed loop recycling. Then over to Food. So Food delivered a revenue slightly above our estimated conversion ratio and a good margin for the quarter. And it's also good to see that we have a solid order backlog at the end of the quarter, up 23% versus same quarter last year. Market sentiment is more or less similar to what I talked about in Q1, still soft market sentiment in the fresh food categories. However, we see investments being made. We see projects coming but the competition is also then quite fierce for those projects being out there. While processed food and especially then the potato category continues to perform well. However, it's also what we communicated before, in Food, our focus this year is not about growth. It is about profitability. We have communicated that we launched an improvement program approximately a year ago. We will take out €30 million in cost and we will have an EBITA run rate of 10% to 11% by end of this year. And the restructuring program and the cost reduction program is progressing as planned and are on track to deliver that. Also in previous quarter, we have explained a bit more about what we are doing as part of the restructuring. And the key element of that is to optimize our production footprint. In the quarter, the last plant or the last product -- sorting product was produced at our Hamilton plant in New Zealand. So that has closed and it's all been transferred to our plant in Slovakia. We also have one more production plant in New Zealand, Auckland, that will be closed during second half of this year. With that, I will end my presentation and hand over to Eva Sagemo to give you an update on the financials and the outlook.
Eva Sagemo: Thank you for that, Tove. And before we start with the financials, I would like to make an important note. This is the first quarter that we present the TOMRA figures in euros. And previous years and comparison figures have been also adjusted accordingly. Starting with the group P&L. As Tove said, we have had a good quarter, the second quarter of 2023. We have delivered a flat growth compared to same quarter last year but also year-to-date. As you have seen from the figures, we have delivered a very strong result in Collection, a bit higher than what we expected as well, while Recycling and Food come in a bit softer but according to our expectations. So the revenue for the quarter ended at €333 million. The gross contribution in the quarter ended at €145 million which gives us a strong gross margin of 44%. That is up 2 percentage points compared to same quarter last year but also a good growth compared to Q1. Explaining a bit about the strong margin this quarter, one thing is the volume but also that we have a good product mix in the quarter. We have also higher share of service revenue, especially then in Food and Recycling. And we also start to see cost saving effects being positive in the gross margin of Food. The operating expenses ended at €101 million in the quarter which is in line with the run rate that we have had both in Q1 and Q4 last year. That gives us an EBITA of €44 million and an EBITA percent of 13%. Moving over to Collection. As I said, Collection has delivered a strong quarter. It came in a bit higher than we expected and that was -- the main reasons are because Romania has been stronger than what we anticipated. But also that deliveries into Austria has started earlier than what we expected. So the revenues ended at €193 million in the quarter, up 15% compared to same quarter last year. And year-to-date, we are up 14% compared to the first half last year. Looking at the regional split in Collection this quarter, we see 2 regions standing out which is then Europe but also the rest of the world, on volumes. And in the rest of the world is mainly Australia, where also the state of Victoria went live with DRS in November last year. So we see volumes picking up in Australia. When it comes to Europe, that's also where all of the new markets activities are happening now materializing into the P&L, mentioning then Romania, Hungary and Austria, in particular. And out of the growth in the quarter, 70% has come from new market activity. That gives us a gross contribution of €78 million and a margin of -- gross margin of 40% which is also up compared to same quarter last year and slightly up compared to Q1. It is nice to see that positive development in Collection. Operating expenses ended at €46 million, up compared to same quarter last year but in line with what we have seen as a run rate, both in Q4 and Q1 this year. EBITA at €32 million gives us an EBITA percent of 16% in the quarter. Moving over to Recycling. And as we have said, Recycling has experienced a softer market sentiment over the last quarters. And that is materializing in the P&L, giving us a revenue of €57 million in the quarter. That is in line with the conversion ratio but it's a decrease compared to same quarter last year, 15% on the top line. Year-to-date, Recycling is down 16% compared to the first half last year. Looking at the regional split in Recycling. We have had a strong Europe this quarter but a softer Americas. And I want to highlight that it's nothing specific happening here. It's just the timing of the orders coming out of the order book. That gives us a gross contribution of €30 million in the quarter and a gross margin of 53%. So a strong margin in the quarter for Recycling, up compared to same quarter last year and also significantly up if you look at Q1. And reasons for that is, one, is the volume that has been picking up compared to the Q1 result but also that we have had a very good product mix in the quarter and also a higher service revenue this quarter as well. We have operating expenses of €20 million, slightly up compared to same quarter last year but down compared to Q1, so good cost control in recycling with lower top line volumes. That gives us an EBITA of €10 million and an EBITA percent of 17%. Looking at the order intake, it ended at €65 million in the quarter. That is down 12% compared to same quarter last year. But as you can see on the slide, the Q1 and Q2 quarter last year were extraordinary strong quarters on the order intake side. We have a record high order backlog in the quarter, up 9% but ending at €133 million for Recycling. So very strong order backlog which gives us visibility into future deliveries. Moving over to Food. And Food has experienced a weaker market sentiment for quite some quarters now. And that is also materializing in the revenue for the quarter ending at €82 million. That is down 16% compared to same quarter last year and down 16% year-to-date compared to first half last year. Nothing specific to mention on the regional split in Food but worth mentioning that Potato segment is still contributing strong into the figures. We have a gross contribution of €37 million in the quarter which gives us a strong gross margin of 45%. And also here, more or less the same explanations as in Recycling, volume, good product mix but also that we have higher share of service revenue which is in accordance to the strategy in Food but also that we see our savings materializing into the gross margin this quarter. Operating expenses at €29 million which is then down compared to same quarter last year but more or less in line with Q1. And I also want to highlight here that it's -- even if the operating expenses is at the same level as Q1, we still have savings in but we have also variations in the cost base quarter-on-quarter in Food. So we are on track on the cost savings program. EBITA ended at €8 million, with an EBITA percent of 10%. And we have €0.5 million in restructuring costs in this quarter; year-to-date, €2.1 million. Looking at the order intake in Food, it's ending at €83 million, down 2%. And a solid order backlog ending at €119 million, up 23% compared to same quarter last year. Going over to the balance sheet and the cash flow. We have had a strong cash flow from operations this quarter at €34 million. That gives us also a strong cash flow from operations year-to-date at €54 million. Nothing specific to mention on the balance sheet. Net working capital, capital expenditures are trailing at respectively, yes, close to 19% of revenue and 5% of revenue this quarter. But what you can see is that we have had some equity transaction this quarter and we have had the distribution of the dividend, €50 million this quarter, that's what you can see in the equity. So the equity ratio ends at 39% and the gearing at 2.3%. Looking at the financial position. We have had to even this quarter. So first, I would like to mention that Scope Ratings affirmed the rating of TOMRA in June at A minus stable. And then also, we issued NOK 1 billion of green bonds early April. That gives us a weighted average debt maturity of 2.4 years, including the RCF and an undrawn facility of €94 million in the quarter. Looking at the currency risk and hedging policy. This one has also been updated accordingly with the change of presentation currency of TOMRA. And now U.S. dollar and euro is the more important currencies to look at. And looking at the development in the quarter, it has been at yes, 1 percentage points and then year-to-date, that has been rather flat. The split of the revenues and expenses in the different currencies is unchanged where we have updated the currency sensitivity towards the euro instead of the NOK which will then change of the euro of 10%, that will give a change in the EBITA of 5%, so lower than what we have had previously in TOMRA. And then to the outlook. Starting with Collection. Higher activity related to new and expanding markets should be expected, where especially innovation and scheme expansion will drive growth in existing markets and the new DRS legislation will drive growth in new markets. But needless to mention that the quarterly performance will depend upon the timing of these new initiatives. The first half has been stronger than anticipated when we started the year which now gives us room for a mid- to high single-digit growth for the full year in Collection. We expect a slowdown in the second half compared to the first half but we expect also the good momentum in Austria to continue in the next half. On margins, we stay firm that they should be above 40% and OpEx run rate in percentage of sales should be in line with the current levels. Ramp-up cost is currently at €20 million for the year, so the run rate for ramp-up. And that is unchanged, looking at the outlook going forward. Important to note that, that might change given the market development. And in this outlook, we have not built in significant volumes coming in from Poland because that is too early to predict. Moving over to Recycling. As I said, recycling has experienced a softer market sentiment and -- which has then led to slower short-term growth in the business division. We don't see a recovery yet in the market. And as Tove mentioned it, especially the plastics and the metals that are performing on the softer side. So we are now adjusting the full year outlook for Recycling for the year. So at a flat year-over-year growth this year, still, it's important to mention that we believe that 2024 will still be a strong year for Recycling. We estimate the margins to maintain strong with the good cost control that we have seen in the business division. Looking into the coming quarter, Q3, with the high -- with order backlog of €133 million, we estimate a conversion ratio of 45% to be recognized as revenue in the third quarter. And then on Food, as also here, I mentioned that Food has experienced a weaker market sentiment and delayed customer investments due to many reasons. Even if we now see that more projects and activities are ongoing in the market, we don't see a significant recovery yet. So our focus in Food remains. The focus is to deliver on the restructuring program and not focus on growth but to deliver on improved profitability. So we don't expect growth to come in 2024 in Food. We are confident that we will deliver on the cost reduction program, saving €30 million at the cost run rate going into 2025, ending the EBITA margin at 10% to 11% end of 2024. Looking at the coming quarter, we have now estimated a conversion ratio of the order backlog of €119 million of 65% conversion to be recognized as revenue in the third quarter. We have also listed here the capital expenditures in Horizon at €40 million to €50 million expected for the year. We have spent 45% of that already in the first half. So the remaining will then come in the second half of the year. And the run rate when it comes to cost in Horizon will remain at the levels that we have indicated before, around €8 million. And then as ending point, it's important to note that we have changed now the presentation currency in TOMRA from NOK to euro and then also we'll have a different profile when it comes to the currency fluctuations in our figures. And that's what I had, Daniel.
A - Daniel Sundahl: Thank you, Eva. Thank you, Tove. And with that, we will move over to Q&A. And please remember to ask a question, raise your hand in the Team's webinar. And I see -- let's see. We have a few questions coming in already, starting with Fabian Jorgensen at Carnegie. Please go ahead, Fabian.
Fabian Jorgensen: Thank you, Daniel. Recycling guiding now for flattish growth year-over-year would require some 70% uplift Q-over-Q in Q4 versus Q3 now. Can you elaborate a bit on the dynamics there and why you expect it to jump so much?
Eva Sagemo: Of course. So we expect Q4 to be very strong when it comes to the revenues to deliver on the flat year-over-year growth. And we are preparing accordingly on the production, on the shipping side and these are confirmed orders to be delivered.
Fabian Jorgensen: Great. Can you also comment a bit on the project mix which you're stating is strong? And I think it's for both Food and Recycling. And what then to expect from gross margins in the quarters ahead?
Eva Sagemo: Yes. So the product mix is that if we start with Recycling, we have a diversified portfolio with different segments into that. But we see that the waste segment is delivering good still. And with that, we sell mainly AUTOSORT machines into. So we are confident that we will deliver gross margins and margins in line with what you have seen in the past in Recycling. When it comes to Food, it's a mix in the order backlog. As I have mentioned, Potato is strong. But with the initiatives and restructuring program, we see that the focus we have and the cost savings that we take, we will maintain good margins also in Food when you look at the gross margin.
Fabian Jorgensen: Okay. But then just to confirm, you shouldn't extrapolate the quite extreme gross margins that we've seen in Q2 for the rest of the year then?
Eva Sagemo: No. You should not do that. As I said, in the Recycling, you should expect the gross margin to be in line with what we have seen in the past. And then you would expect some uplift in the margin in Food compared to last year but not necessarily compared to the previous years.
Fabian Jorgensen: Great. And just finally, on the Collection side, with mid- to high single-digit growth, is there any significant variations in Q3 and Q4 with Austria now and Romania being strong with that drop off in Q3 or in Q4?
Eva Sagemo: It's difficult to predict exactly how the quarters will come in but we have given then an indication of the second half.
Daniel Sundahl: Thank you, Fabian. And the next question will come from Gaurav Jain at Barclays. You are on mute, I think but you are free to talk.
Gaurav Jain: Sorry about that. I hope you can hear me now. So a few questions from me. One is on the Collection side. So clearly, at the end of the year, you were guiding to weak 1H and it has turned out to be very strong and your expectation was that 2H will be much stronger. So should we expect that Collection growth rate continues to accelerate from here, especially as the Poland DRS scheme -- earlier, you were saying it will probably get delayed but now it seems that it will actually go live on 1 Jan, 2025. So could you just help us dimensionalize like whatever rough numbers you would -- like how should we think about -- I understand you will not give us a guidance but it's more like how should we think of scenarios around Poland, Austria whatever else is happening with PPWR, with more DRS schemes. So if you could just help us with that, that will be great. And second is on the Food side, like if I just look at your order backlog chart now for years, so it is like flattish. And your projections -- you assume that it should grow 5% to 7% CAGR. So when is it that you will conclude that your projection is probably not borne by what you have done historically? So those are the 2 questions.
Tove Andersen: Yes, I can start and then Eva can add on. But if I start on the Food business. So we believe over a period that the annual growth level in the Food category is as you say, 5% to 6%. But of course, there will be variations year-on-year. Currently, we don't have -- currently, the market sentiment is softer due to lower commodity prices and higher interest rates. However, we are still very firm that over time and if you look over a 5-year period, for example, that you would see the 5% to 6% annual growth. When will it pick up? That is, of course, the big questions. As we said, we are seeing signs of orders coming, investments being made. But this will depend also on interest rates and also in general then, crop prices and harvest. So if you have a good harvest for a certain category, the farmers will earn more money and then they will reinvest. So we believe that this will come gradually and that we will start to see some recovery, hopefully then also already next year. And then the other question was linked to then Collection and how we see different scenarios there? And as we say in the outlook, the quarterly performance will depend on new initiatives. We believe, as we said, Austria will go live beginning next year and we're already seeing good sales in this quarter and that we expect to then continue during second half. Well, for example, Romania which went live last year, we will expect that to be phasing out. And also, we expect the Hungary to be phasing out the second half of this year. And based on that, we have said that our current belief is that we will end up then this year with a growth of mid- to high single digits. In that figure, we have not included significant sales into Poland. We have included some sales into Poland but not significant sales. So that is a potential upside if they go live full blast, 1st of January. We believe that probably -- and based on -- there is significant activity in Poland, there is significant activity on their work, on the regulations and getting everything in place to go live. There is also a significant activity on the commercial side but our belief is still that there will be more a soft launch beginning next year. And that's why we have then, for our estimate for this year, not built in significant sales into Poland. I'm not sure, anything to add, Eva?
Eva Sagemo: Nothing to add.
Daniel Sundahl: Okay. Next question will come from Elliott Jones at Danske Bank. Please go ahead, Elliott.
Elliott Jones: Congrats on the results. Just on the Recycling size, yes, 45% conversion rate this quarter, 45% next quarter. That obviously implies 1 or 2 very, very big projects in Q4. Is there any risk that those projects may be just don't go through? Or are you very, very confident that they will be kind of landed in Q4 and there's no risk to kind of them being delayed into Q1 next year?
Tove Andersen: So our order backlog is very firm. So we have really any cancellations in our order backlog. Of course, there could always be delays and we can never exclude delays. But based on what we know now and based on what we see now, yes, Q4 will be a very strong quarter. And if we then achieve based on the guidance we have given, what we are saying, it will be a record quarter for Recycling. We are, as Eva said, we are gearing up for it. We are producing and we will produce in advance and make sure that we are ready to deliver. So that's what we are aiming for and that's what we will work hard to be able to deliver on. But of course, you can never exclude that there could be a 1 or 2 months' delay on a project. But then that is not really a key issue for us if it then lands Q4 or early Q1.
Elliott Jones: Got it. And then in terms of the Recycling margins for Q3, if the -- is it fair to assume that if that kind of conversion rate is similar for Q3 and that's where revenue is same as Q2, is it fair to assume similar EBITA margins in Q3 for Recycling to Q2?
Eva Sagemo: So when you look at Q4 and with that high volume, you would expect the EBITA in that quarter to be at higher levels. But when you look at the year overall, we should be in line with what we have delivered over the previous years.
Daniel Sundahl: And it doesn't look like we have any more questions coming from the floor. So with that, we have reached the end of the presentation. I hope we will see many of you in Alicante on the 5th of September. If you haven't registered, please do so and join us in Spain in September. Otherwise, we'll be back here with Q3 results in October. Thank you very much. Have a nice day. Enjoy your summer. Bye, bye.